Operator: Ladies and gentlemen, thank you for standing by and welcome to the Enphase Energy's First Quarter 2020 Financial Results Conference Call. At this time, all participants' lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions].  I would now like to hand the conference over to your speaker today, Adam Hinckley. Thank you. And please go ahead, sir.
Adam Hinckley: Good afternoon. And thank you for joining us on today's conference call to discuss Enphase Energy's first quarter 2020 results.  On today's call are Badri Kothandaraman, Enphase's President and Chief Executive Officer; Eric Branderiz, Chief Financial Officer; and Raghu Belur, Chief Products Officer. After the market close today, Enphase issued a press release announcing the results for its first quarter ended March 31, 2019. During this conference call, Enphase management will make forward-looking statements including, but not limited to, statements related to Enphase Energy's expected future financial performance; the capabilities, launch and availability of our technology and products, our performance in sales and operations, and our expectations as to the impact of the COVID-19 pandemic.  These forward-looking statements involve significant risks and uncertainties, and Enphase Energy's actual results and the timing of events could differ materially from these expectations.  For a more complete discussion of the risks and uncertainties, please see the company's annual report on Form 10-K for the year ended December 31, 2019, which is on file with the SEC, and quarterly report on Form 10-Q for the quarter ended March 31, 2020, which will be filed during the second quarter of 2020. Enphase Energy cautions you not to place any undue reliance on forward-looking statements and undertakes no duty or obligation to update any forward-looking statements as a result of new information, future events or changes in its expectations.  Also, please note that financial measures used on this call are expressed on a non-GAAP basis unless otherwise noted and have been adjusted to exclude certain charges. The company has provided a reconciliation of these non-GAAP financial measures to GAAP financial measures in its earnings release posted today, which can also be found in the Investor Relations section of its website. Now, I would like to introduce Badri Kothandaraman, President and Chief Executive Officer of Enphase Energy. Badri?
Badri Kothandaraman: Good afternoon. And thanks for joining us today to discuss our first quarter of 2020 financial results. I hope all of you are staying safe and healthy.  We had a good quarter considering the COVID-19 pandemic. We reported revenue of $205.5 million and shipped approximately 2 million microinverters.  I'm very proud of the fact that our global teams did an excellent job navigating the manufacturing and logistics disruptions in China due to COVID-19 in order to ensure on-time customer deliveries.  We reached an all-time record for gross margin, driven by both disciplined pricing and cost management. We exited the first quarter at approximately 40%, 14% and 26%, outperforming our baseline financial model. This means 40% gross margin, 14% operating expenses, 26% operating income, all as a percentage of revenue on a non-GAAP basis. As a reminder, our target baseline financial model is 35%, 15%, 20%.  When we last spoke in middle of February, the general concern was primarily around supply disruptions in China due to COVID-19. At that time, our teams were on top of the situation on a daily basis and managed the situation very well.  The demand in the US remained strong through early March, as distributors wanted to ensure they had adequate inventory. We were seeing excellent bookings for Q2 at that time, and were poised to rebound well from a seasonally soft Q1.  However, since early March, the spread of the pandemic worldwide has resulted in a significant downward pressure on worldwide demand due to current shelter in place restrictions.  Even though solar installations have been allowed as essential services in some locations, the ability to generate new sales has been hindered due to social distancing and economic uncertainty. I'll give you more color on the regions later in the call.  Let's now talk about how we are servicing customers in these times. I'm very happy to report that our customer service personnel in all four worldwide locations – US, Europe, India and Australia – are fully supporting our installers and homeowners while working from home. We have not missed a beat in supporting them as all our systems are cloud based.  I'm particularly pleased that our Q1 net promoter score in North America was 72% compared to 56% in Q4. This dramatic quarter-over-quarter improvement was the result of many initiatives, such as retraining our agents, matching orphaned sites to active installers for better servicing, and improving our tools, processes and systems.  Our average call wait time increased slightly in Q1 to approximately 90 seconds. We have taken corrective actions, such as optimizing customer notifications from our Enlighten cloud, enhancing self-service and chat capabilities to reduce call volumes and lower our wait times to 60 seconds or less. In addition, we are working regularly on continuous improvement to the Enlighten mobile app for homeowners as well as installers.  We're also very pleased with the momentum in the Enphase online store in the US, which now has got many of our latest products, including IQ 7 based AC modules available for sale.  I want to spend a couple of minutes on quality. We made excellent progress in 2019, dropping our IQ 7 defects by a third and getting closer to our 0.05% annual failure rate target.  Our always-on connectivity strategy, combined with our semiconductor and software-defined architecture, along with 8D problem solving methodology were instrumental in making this happen.  While we're planning to continue these actions aggressively in 2020, we have started focusing on storage as well. For example, our quality teams have been intimately involved in the design and reliability of our Encharge storage system from day one.  We believe that designing in, quality and reliability upfront will improve our top line due to better customer experience and bolster gross margins due to warranty expense reductions in the long term.  Let's now turn our attention to Mexico contract manufacturing facility that continues to ramp nicely for us. The facility has been deemed essential and has not experienced any significant production disruptions till date.  We manufactured more than 700,000 IQ 7 microinverters in Mexico during Q1 and exited the quarter at a weekly run rate of more than 70,000 units. We feel very confident in the ability to produce over a million units by Q4 2020, if justified by product demand. Let's touch upon overall inventory management. Given the reduced demand situation in Q2 of 2020, we are working very closely with our contract manufacturing partners to optimize our inventory builds both in China and Mexico.  Maintaining a tight lid on inventory is very critical for us, especially in times like this. However, it is important to note we are not compromising one bit on our Encharge storage ramp and are executing on all the necessary builds there. Moving on to the regions. Our US and international mix for Q1 was 84% and 16%, respectively, excluding safe harbor revenue. Europe, Asia-Pacific and Latin America all demonstrated sequential growth in Q1 compared to the US that had a slight seasonal decline in Q1.  We continued to make solid progress in acquiring new installers and growing our US business in Q1. As a result, we have seen a strong increase in sell-through from our distributors to installers by approximately 37% over the last six months ending March.  Recent installer wins include PetersenDean, Amica Solar [ph], RSI Energy and a whole bunch of small and medium sized installers. A number of these new installers also plan to offer storage in addition to solar. We are excited about bringing them on board and look forward to ramping the business with them as COVID-19 subsides.  In the US, we are hearing industry reports of a 30% to 50% drop in residential installations in April. Some states like New York and California are experiencing even bigger drops. With the near-term demand disruptions to the industry, we are taking all necessary reactions to keep our channel inventory in check.  With the lower sell-through in April, we are working closely with installers and distributors to optimize their existing inventory. We believe that this will result in a healthier organic pattern when installer sales activities pick up after restrictions on shelter in place are relaxed.  While the short term is painful and uncertain, we see a few long-term benefits for Enphase and the solar industry. Let's talk about the first one. For example, San Luis Obispo County in California introduced electronic permitting for microinverter-based PV systems in early April 2020. We are pleased that the building department recognizes the safety advantages of our AC architecture.  The second benefit is installers are rapidly adapting to the COVID-19 challenge by embracing virtual selling using digital tools. This is going to be a major trend in the future.  Third, we also believe that the pandemic will bring self-sufficiency to the forefront of the homeowners mind, particularly around energy storage, and we are in a great position to service homeowners, especially as our high quality solar and storage solutions can help them save money during difficult economic times, as well as providing energy security.  Now, let's talk about Europe. Europe, we made nice progress in Q1, more than doubling the revenue from Q4. As previously discussed, we have tripled our sales force in that region and we are working diligently with installers and distributors, while leveraging our high quality and customer service. We are excited by the opportunities in Netherlands, Spain, Germany and Belgium.  We also have a couple of AC module solutions that provide us with added differentiation. In fact, we expect Q2 sales to be in line with Q1 despite the pandemic reflecting the nice progress we are making. We previously indicated that our goal this year was to double sales in Europe from the prior year. It's going to be a little bit difficult given the pandemic, but we have not given up on it yet.  Both Asia-Pacific and Latin America demonstrated revenue increases compared to Q4. In Australia, we secured RACV, the equivalent of AAA in the United States, with 2.2 million members as a new landmark customer. We also introduced a partnership with Rexel to expand our Australian solar distribution network.  Again, our strategy here is pretty simple. Focus on the basics like increasing installer visits and training and promoting high quality safe AC.  We do expect a slowdown in this region in Q2 due to the pandemic, but with our solid growth initiatives and the talented team in place, we believe we are well positioned to grow for the long term.  In Latin America, our Q1 revenue sharply increased, primarily due to sales of our IQ 7 microinverters in Puerto Rico. We expect to make a lot more strides in this region with our Encharge storage product, which is coming soon.  Let's now turn to new products. I want to talk a little bit about how our engineers are doing. Despite the restrictions imposed by the lockdowns, our engineers have been working very hard to find ways to accelerate development, automate testing efforts and implement remote debugging.  In the US, we are in complete lockdown with the exception of very few engineers to support essential business activities or minimum basic operation.  In New Zealand, the government imposed a complete lockdown and just allowed partial opening up offices in the last week of April.  In India, a handful of engineers were able to get permission from the local authorities to do essential work.  We acknowledge the effort from all of our employees for their tremendous dedication to Enphase in these times. I'm really proud of them.  Nevertheless, the shelter in place rules implemented in March impacted our overall engineering activities, such as testing and compliance of our Encharge battery storage system.  As a result, we will unable to ship beta units before the end of the quarter – first quarter as we originally planned. As of now, all testing is complete and we expect to start shipping beta units to installers sharply. Barring any further impact from COVID, we do expect to have meaningful revenue in Q2 from production shipments of our Encharge battery storage systems.  Installer training is critical for Encharge's success. We trained 654 people at our Fremont headquarters in Q1 and were limited in being able to train more due to shelter in place rules. We are switching over to online training in the coming weeks. And after completing all coursework online, installers will receive provisional certification and will have a video inspection of their first install by an Enphase field application engineer. We believe this process adequately ensures the skill verification that we require of our certified installers.  As I mentioned in my recent letter to shareholders, new products are the lifeblood of Enphase. The IQ 7 family of products has put us in a very solid position today. We have an incredible product lineup awaiting us.  First, we are committed to launching IQ 8, the grid agnostic microinverter for residential rooftops which will add even more differentiation on top of IQ 7. Second, our small commercial offering, IQ 8D, the 640 watt AC microinverter for two panels, is coming along well. We expect this product to provide high quality, rapid shutdown compliance in addition to outstanding CEC efficiency of 97.5%.  Third, we are adapting the Ensemble in a box product we announced at our 2019 analyst day and expect to introduce it initially for the US followed by India. This product will be portable, with a battery capacity of 1.7 kilowatt hour, providing energy security inside the home, as well as energy on the go for outdoor activities such as camping. The battery can be directly charged from the grid or from portable solar panels depending on whether the product is used indoors or outdoors. The product will have our trademark characteristics, high quality, always-on connectivity, and exceptional customer experience. We are looking forward to introducing the product later this year.  Let me talk about another big initiative we are embarking on – digital transformation. Today, we are engaged digitally with our installed base of more than 1.1 million sites through the Enlighten mobile and desktop applications, putting us in a unique position to understand our customers' energy needs well.  Similarly, we work very closely with a few thousand installers and engage with them through the mobile app training workshops, customer visitations and installer newsletters.  We want to create an incredible experience for both installers and homeowners by developing a comprehensive digital platform. It is our desire that both existing and new homeowners come on to your platform, are seamlessly connected to our great installer network, and have an efficient interaction all the way through installation, activation, and O&M, which stands for operations and maintenance.  It is our vision that, when done right, this platform will serve as a powerful catalyst, accelerating our solar and storage sales. In order to build such a powerful platform, we are planning to create several tools for the installers to make the entire installation process a lot more efficient. This involves building software expertise both organically as well as inorganically. We expect to make significant progress on this front in 2020.  Although there is short-term uncertainty due to COVID-19, we have tremendous confidence in the strength of our business in the long term. Our supply chain is flexible and resilient, aided by our strong contract manufacturing partners. We are laser focused on operational excellence and customer experience. We have a very strong balance sheet, with additional cash from the recent convertible debt offering and good cash flow generation capability.  Our strategy is to manage the current circumstances by investing in innovation and creating new products with unmatched value based on our three pillars of differentiation – semiconductors, software and Ensemble. In summary, we are pleased with the results of the first quarter considering COVID-19 pandemic. We extend our deepest sympathy to those impacted by this pandemic. While it is impossible to know how the crisis is going to unfold, our top-most priority is to ensure the health and safety of our employees, customers and partners.  We will also do whatever possible to ensure uninterrupted supply and support of our high quality products to our customers and partners.  With that, I will hand things over to Eric for his review of our finances. Eric?
Eric Branderiz: Thanks, Badri. I will provide more details related to our first quarter of 2020 financial results as well as our business outlook for the second quarter of 2020.  We have provided a reconciliation of these non-GAAP to GAAP financial measures in our earnings release posted today, which can also be found in the Investor Relations section of our website.  Total revenue for the first quarter of 2020 was $205.5 million, including approximately $44.5 million of safe harbor revenue. Total revenue for the first quarter of 2020 decreased 2% sequentially and increased 105% year-over-year. Excluding safe harbor revenue, first quarter revenue decreased 7% sequentially and increased 51% year-over-year. We are pleased with this result considering the typical industry seasonality in the first quarter and the supply chain disruption in China from COVID-19 pandemic.  We shipped approximately 643 megawatt DC in the first quarter of 2020.  Non-GAAP gross margin for the first quarter of 2020 was 39.5% compared to 37.3% for the fourth quarter of 2019. The sequential improvement resulted from our continuous focus on pricing management and cost reduction initiatives.  Non-GAAP operating expenses were $28.5 million for the first quarter of 2020 compared to $26.1 million for the fourth quarter of 2019. The sequential increase was primarily driven by the hiring of sales personnel in Europe and higher payroll taxes related to equity vesting.  A significant portion of expected operating expenses for 2020 has been allocated to sales and marketing to support our international growth and to research and development for both hardware and software innovation, as well as the expansion of our digital platform.  GAAP operating expenses were $36 million for the first quarter of 2020 compared to $33.4 million for the fourth quarter of 2019. GAAP operating expenses for the first quarter of 2020 included $6.9 million of stock-based compensation expenses and $546,000 for amortization expenses for acquired intangible assets. On a non-GAAP basis, income from operations was $52.8 million for the first quarter of 2020, a record for the company compared to $52.3 million for the fourth quarter of 2019. On a GAAP basis, income from operation was $44.7 million for the first quarter of 2020. We are pleased with the increase in non-GAAP income from operation on a sequential basis, despite the modest seasonal decline in revenue.  On a non-GAAP basis, net income for the first quarter of 2020 was $51.9 million, basically unchanged from the fourth quarter of 2019. This resulted in diluted earnings per share of $0.38 for the first quarter of 2020 compared to $0.39 for the fourth quarter of 2019.  GAAP net income for the first quarter of 2020 was $69 million compared to $116.7 million for the fourth quarter of 2019. GAAP net income in the first quarter of 2020 included $15.3 million benefit from changes in fair value of derivatives and $11.9 million income tax benefits compared to the prior quarter that included $72.2 million tax benefit for the release of valuation allowance against deferred tax assets.  GAAP diluted earnings per share was $0.50 for the first quarter of 2020 compared to $0.88 for the fourth quarter of 2019. GAAP earnings per share for the first quarter of 2020 included an $0.11 gain from change in fair value of derivatives and a $0.09 income tax benefit compared to the fourth quarter of 2019, which included a $0.54 non-cash benefit from the release of the valuation allowance. Now turning to the balance sheet. Inventory was $34.6 million at the end of Q1 2020, and included approximately $3 million allocated to Encharge battery storage product. Inventory at the end of Q4 2019 was $32.1 million.  Accounts receivable were $95.5 million at the end of Q1 2020 compared to $145.4 million at the end of Q4 2019. The reduction was primarily due to safe harbor shipments in Q1 2020 having been prepaid in Q4 2019 and improved shipment linearity in the first quarter of 2020.  We exited the first quarter of 2020 with a total cash balance of $593.8 million compared to $296.1 million for the fourth quarter of 2019. The cash balance includes a $320 million aggregate principal convertible note issuance in March that resulted in net proceeds of $313 million.  In addition, the purchase of the call spread to increase the effective conversion premium to 100% had an additional net cost of $17.5 million. The tax deductibility of the convertible note hedge effectively offsets the upfront net cost over the five-year duration of the notes. The cash balance in the quarter was reduced by $34.3 million for employees withholding taxes to net settle the stock compensation grants that vested in the first quarter of 2020. This prevented the issuance of 938,000 shares and does not count toward the $200 million share repurchase authorization that I will discuss in a moment. Ending cash balance would have been $628.1 million instead of $593.8 million if we did not execute on these anti-dilutive transactions.  We generated $39.2 million in cash flow from operations and $35.9 million in adjusted free cash flow for the first quarter of 2020. Capital expenditure was $3.4 million for Q1 2020, mainly to increase our microinverter supply capacity in Mexico and Encharge battery capacity to support our ramp in Q2. Now, let's discuss our outlook for the second quarter of 2020. We expect our revenue for the second quarter of 2020 to be within a range of $115 million to $130 million.  Turning to margins, we expect GAAP and non-GAAP gross margins to be within a range of 37% to 40%. We expect our GAAP operating expenses to be within a range of $33 million to $35 million, including a total of approximately $7.5 million estimated for stock-based compensation expenses and acquisition-related amortization.  We expect non-GAAP operating expenses to be within a range of $25.5 million to $27.5 million. The actual operating expense as a percentage of revenue will be above our target baseline financial model in the near term, but we expect to trend towards this model as demand rebounds later in the year.  I would like to spend a few minutes discussing the resiliency of our business model considering the current economic backdrop. Our outsourced manufacturing model results in low fixed cost of goods sold, and we have no material minimum volume commitments or take-or-pay provisions with our contract manufacturers or critical vendors.  We pay slightly more per unit when volumes decline and we are working with our contract manufacturers and suppliers to navigate through these unique circumstances.  Based on the gross margin guidance for Q2, it should be clear that these higher costs do not materially affect our gross margin. Then it becomes up to us to control operating expenses in the near term by restricting new hires to essential or strategic positions, deferring travel, and discretionarying the spending actions.  We have built a talented global team of employees. We seek to retain and are not reducing any headcount at this time.  It is important to note that we are doubling down on our new products and want to introduce them faster. We believe this will enhance our differentiation, making us emerge even stronger after the global economy gets back on track.  Before turning the call over for questions, I would like to touch on one of our capital allocation strategies. On April 21, our Board of Directors authorized the repurchase of up to $200 million of Enphase Energy common stock to minimize shareholder dilution related to employee equity issuances.  The purchases will be completed from time to time in the open market or through a structural repurchase agreement with third parties. Such purchases are expected to continue through March 2022 unless otherwise extended or shortened by our Board of Directors. This adds another tool to our toolkit to increase shareholder value when management believes the market value of the stock deviates materially below the conservatively calculated intrinsic value.  With that, I will now open the line for questions. 
Operator: Thank you. [Operator Instructions]. And our first question comes from the line of Brad Meikle with Williams Trading. Your line is now open.
Brad Meikle: If you could talk about the themes and demand patterns that you've seen across different countries in Europe and also the different states in the US, that would be great.  And then, also secondly, have you seen any supply interruptions and can you talk about your timing of your new products in that [indiscernible] second half, namely, the IQ 8, the roof top and the Ensemble storage? Thank you. 
Badri Kothandaraman: Right. So, regarding the demand situation, let me let me tell you the story. In the last earnings call in February, we all – all of us were looking forward to a nice Q2. And we were quite healthily booked at that time. And then, suddenly, in early March, we started seeing the pandemic spreading to the US. So, in the last three weeks of March, we started seeing the residential installations go down. And for Enphase, particularly, we were actually 100% linear at that time. And so, we were shipping perfectly. And yes, we did experience slowdown in the last three weeks, yet we managed to make our numbers.  Then April, the pandemic spread was a lot more severe. And particularly, we have seen it very severe in, obviously, California due to the shelter in place rules and, obviously, in New York where it is really severe unfortunately at this point in time.  So, I already said 30% to 50% drop according to industry reports that we see in overall residential installations. In some places like Texas, it's on the side of 30%. In some places like what I said, New York, California, it's even more than 50%. In Florida, it's a little bit less on the lower side.  And then, we also find – obviously, in times like this, our small and medium size installers are going to be a lot affected. And so, what we are doing, Enphase, if you see our midpoint of guidance, this time in Q2, that's about $122.5 million, the midpoint of guidance for Q2. And we are well booked above that number right now. But we know that we have to work with a lot of customers and make sure that we don't overload the channel.  It's important for us that we support our customers in this time. And so, we are working with each customer to make sure they have the right inventory because we have no interest in stuffing the channel. And then, we're looking forward to a great Q3.  So, right now, we are in the beginning of May. California is on lock down till the end of May, shelter in place till the end of May. The other states, they have been a little bit more aggressive. New York is also going to be similar to California. So, we expect – if things are optimistic, we expect to start seeing more activity in towards the end of May and June. Demand may pick up. But right now, with the visibility we have, we thought it is important for us to be realistic, give you the right guidance to work with our installers, to make sure we don't have excess inventory in the channel, so that we are ready for a nice ramp in Q3.
Brad Meikle: Thanks, Badri. Is the change in Europe different from the US, more severe or less severe? 
Badri Kothandaraman: Yeah, situation in Europe, sorry, I didn't answer that question. The situation in Europe – Italy, we are not in Italy. So, unfortunately, Italy has been a lot affected in Europe. But, fortunately, we are not there.  Netherlands, despite the pandemic, Netherlands is modestly affected, and our share in Netherlands has been quite low, maybe sub 10%. And we tripled our sales team. We hired some great people in Netherlands. We are working on distributor partnerships. We are working to win installers. And so, for us, the Netherlands, I would say it's more a share gain from our perspective because of our efforts.  And in terms of Germany, Germany is affected by COVID. Of course, we don't do much business in Germany. That's the nice thing about it. And we were able to make modest impact in Q1 and we expect to grow that in Q2. Spain is another place where we have started efforts. We have a team of three, four people, an excellent team of people. We expect them to start making significant progress for us in Q2 and beyond.  That's why you've seen Europe – although Europe is hit by the pandemic, for us, Enphase, we think we will be in line with Q1 for Q2. So, that's the situation.  Australia. Australia is similarly affected. Right now, Australia is doing a lot better than the US, but they do predict a drop in demand. And our numbers in Australia are also flat compared to Q1. Q2 numbers are flat compared to Q1.  So, if I were to summarize, the rest of the world business is doing better than the US and the US is a lot affected by the pandemic, basically.  Now, you've asked the question on manufacturing. Manufacturing is not an issue. Supply chain is not an issue. We have a lot of options. We basically – you know we have China. We have Mexico. They're all doing well. We are working with contract manufacturer to optimize inventory in both workplaces This is a time where cash is king and we want to make sure we don't spend money unless we need to. At the same time, we are not compromising on our batteries. As Eric said, we've built an inventory of $3 million for battery at the end of March and now it is even more. So, we are getting ready for the ramp there.  And in terms of manufacturing supply chain, we are also diversifying to another place, meaning another location, neither in China nor in Mexico. And we'll announce it when we are ready. But we'll be able to start manufacturing microinverters there in the fourth quarter. 
Operator: Thank you. And our next question comes from the line of Brian Lee with Goldman Sachs. Your line is now open.
Brian Lee: Hope everyone is doing well and staying safe. First question I had was on the inventory. Badri, it sounds like you don't think inventory is a problem right now. You're pretty lean. You want to keep it that way as well. So, can you give us some sense on where inventory levels are and also lead times right now in terms of, I guess, number of weeks?  And then, remind us on kind of where the target or healthy ranges are that you typically try to operate within? 
Badri Kothandaraman: Yeah. Our inventory target is usually – we have 30 days. Are you asking for channel inventory or Enphase inventory, Brian?
Brian Lee: Yeah. It sounds like you guys are lean, but the channel would be great. If you have some visibility on the channel. I think you've said 8 to 10 weeks in the past, but if you could just kind of refresh us on that and where you are today. 
Badri Kothandaraman: So, we misunderstood the question. Sorry. Yes. So, if you're asking about the channel, in the past, we have always said 8 to 10 weeks. Obviously, the downward pressure on demand means that the installations didn't happen. Didn't happen much in April. That means when you look at forward-looking inventory based upon what actually happened in April, you're going to end up with a big number of weeks of inventory. But what we are doing at this time is it's pretty clear, right? We are saying, okay, yes, you guys have stopped installing, therefore, it is no point for us to put more inventory into the channel. And therefore, we will make sure that we work with you, and we push out your orders into the next quarter and ensure that the channel inventory is always healthy.  If the channel inventory is always healthy, then when the demand comes back up, then we can – when the channel depletes a bit, we can basically refresh the material back. So, it's almost like a mass balance. When the channel depletes some inventory, we can ship back some inventory into the channel. And we are doing it mathematically. We have a lot of experience in this. In good times, obviously, inventory is going to be low. In bad times, the trick is to see how you can prevent inventory from ballooning up. And it's mathematically done, formulaically done and we work with our installers. So, that's what we're doing. 
Brian Lee: Okay, that's helpful. And I guess maybe just related to that, I wanted to understand one of the comments you made, Badri. You said bookings – you're well above the midpoint right now. For Q2 guidance, you said the $122.5 million, you're well above that from a bookings perspective. Clearly, you don't want to overload your customers with inventory. So, is that to suggest you're worried about some of those bookings, as you're describing them being canceled? Or are you seeing a high degree of cancels right now? Because it sounds like if we didn't have the COVID uncertainty, maybe with the level of bookings you'd have, you'd be guiding above the targets you're providing today for Q2. Just trying to parse those comments and understand sort of the level of visibility you have versus the level of maybe conservatism you're baking in, just given all that's going on?
Badri Kothandaraman: I think you've got it right. Yes, we are booked quite well. We are booked a lot more than the midpoint of the guidance. But our visibility is lowered this time and the uncertainty is high. And if April were a proxy of things, we will expect a little bit more cancellations and push out. On the other hand, if May or June is a lot more positive, we'll have a chance to hit the high point. So, we thought we should give you a number that takes into account all of these puts and takes. And that's why I'm giving you a full visibility. You guys know what I know.
Brian Lee: Okay, that's great. And then, maybe just last one and I'll pass it on. On gross margins, you guided 36% to 39% for Q1. You beat that range. Now, you're guiding 37% to 40% on 40% lower revenue. So, the model is pretty resilient irrespective of volumes. That's pretty clear. But once volumes do pick up later in the year, coupled with some of the new products that are ramping, it seems like you'd have some upside to that margin range. I'd be curious sort of what your views are on that. Margins in a healthier volume environment, kind of if they pick up from here.  And then, just on the flip side of that, you also mentioned you've got some of the longtail customers, maybe some of those customers are more challenged in this kind of environment right now. Any worries around bad accounts and sort of charges related to that? Maybe just some context around that, if you're seeing that or if you have anything to suggest that you have the ability to mitigate that.
Badri Kothandaraman: Right. Let me answer the question on gross margin. Yes, absolutely. We are highly confident of our gross margins. And that's why we gave you a guidance of 37% to 40% despite these times. Why is that? The basic question.  Gross margin comprises of two things, pricing management and cost management. Pricing management, we're very disciplined in pricing. We have a pricing team, which I established a couple of years ago, and they do a great job optimizing every transaction. That's extremely important for us and we do value-based pricing. We will continue to do that. Absolutely. So, pricing is one of the big reasons why our gross margin is where it is.  The second is cost management. Cost management comprises into a lot of tactical pieces and a few strategic pieces. Tactical pieces are blocking and tackling in order to do supply chain optimization, finding second sources here and there, dropping costs, negotiation with customers. The second piece is tariffs. We have systematically designed the supply chain such that microinverters produced in Mexico do not require a tariff and we are extending the same to accessories in the future. That's two. Number three. Also tactical is, you saw us doing a lot of expedites two or three quarters ago. And expedites are no longer required for us because we have solved the power transistor problem, we have solved the component shortage problem. So, therefore, expedites are going to be in the noise. That's one more thing there.  And then number four is a little bit more strategic piece. When it comes to cost reduction, we have an ASIC strategy. In the ASIC, we have basically the digital portion. And then we also have the analog integration of the ASIC. We are able to integrate analog chips that we use in the microinverter on to the AC. Even if it means $0.20 cost reduction, $0.20 multiplied by, let's say, 8 million units a year, that big deal, $1.6 million. So, every cent for us that we can take out of the micro by integration into the SIC is extremely critical.  And then, in addition, the last few things are how can we fundamentally change the architecture of our transformers that is used, how can we go from 300 components down to 50 components, how can we reduce the microinverter to the size of an iPhone? Those are some of the long-term strategic cost reductions that we are thinking about.  So, to answer your question, we have a very high degree of confidence. Especially when the demand comes back, we do have upside in gross margins.  Now, I'll have Eric talk about whether we are worried about bad debt. 
Eric Branderiz: Yeah. So, thank you for the question, Brian. As you know, on note 3 of our 10-Q filing that we just published, we disclose our allowance for doubtful account. And you can see that is very small. And the reason that is very small is because most of our business is through distribution. And with that, most of the distributors that we do business with, they have pretty strong balance sheets. Not only that, they also manage the cash and the days of inventory very well. So, they put some things that goes into a conversation with the installer of all their point of sale data from the distributor. It's normally done on a triage with the distributors as well, which they own the credit phase with the installer. So, at this point, we don't hear any issues associated with the payment terms or paying.  Some of our installers, we actually have a direct business relationship, in which all of them right now are doing fairly well. Some of them requested a little bit of an extended payment term, but for the most part, all of them are okay.  So, at this point, as of the time of this filing, we don't see or we don't foresee any issues on collections associated with my receivables at the end of the quarter. 
Brian Lee: Thanks, guys. 
Badri Kothandaraman: Thank you. 
Operator: Thank you. And our next question comes from the line of Colin Rusch with Oppenheimer. Your line is now open. 
Colin Rusch: Thanks so much. As you look at the market for energy storage and your ability to drive costs out, obviously, a little bit early days, and you just walked through a lot of detail on the [indiscernible], how much opportunity is there for you guys over the next couple of quarters to support your gross margin trajectories as you scale up a little bit on the margins? And then, curious about it, on a 12 to 18 month basis as well. 
Badri Kothandaraman: Right. If you look at Encharge battery, the subcomponents inside the Encharge battery or the cell battery pack, then you have the battery management unit, which is the BMS, then you have a battery controller which basically communicates to the gateway, and then you have the microinverters. As we dropped the cost of the microinverters, that's going to go down. We do have plans to integrate the battery management unit and the battery controller into one board and we do plan to use an ASIC to integrate to achieve even higher levels of integration.  Now then we are left with the cell pack. The beautiful thing about that is we work with so many cell pack vendors, and therefore, if they drop their cost, they are going to pass that cost on to us. So, I would say there is nice potential for us. Especially as we start ramping volumes, there is really – we can probably get a lot of costs out in the first couple of years, and then it more translates into steady progress after that. 
Colin Rusch: Great. Thanks so much. And then, looking out a couple of quarters and considering the long tail of installers that are customers for you guys, how much visibility do you get into the cash flow dynamics and the strength of their balance sheets? There's an awful lot of small operations in various localities, but how much information can you really gather at this point to looking at that portion of the customer base?
Eric Branderiz: Yeah. So, it appears that, for the most part, the installers are taking advantage of some of the generous programs issued by the federal government, right? Most of them actually qualify for those programs. So, some of them is taking some time to get them administratively completed because of the fact that they don't have a big accounting group to manage and to – we chase their reimbursements. But I don't hear – I have quite a bit of visibility and I don't hear any big issues on installers not being able to sustain through their balance sheet through this period for now.  Now, if this situation continues and deteriorates even more, the first ones to upfront that hit will be distributors, in which eventually we will need to triangulate that one into what it means to us, right?  But at this point, actually, to my surprise, the small installers, they do pretty well. Some of them, they manage their cash very tightly. They don't have a large OpEx or a big infrastructure to support and they can hunker down into a smaller operation and then be ready for the comeback when needed.  So, I'm actually okay with that. 
Colin Rusch: All right, great. Thanks so much, guys. 
Badri Kothandaraman: Thank you, Colin.
Operator: Thank you. And our next question comes from the line of Mark Strouse with J.P. Morgan Your line is now open.
Mark Strouse: Thanks very much for taking our questions. Can you just touch on the competitive dynamics? Any signs that some of your weaker competitors may be looking to exit the market? Any evidence that your kind of fortress balance sheet that you've built is allowing you to take any market share?  And then, kind of lastly, as a follow on to that, are there any interesting competitors or technologies that are out there that could potentially be struggling during this downturn that you think could be interesting M&A opportunities?
Raghu Belur: Hi. This is Raghu. So, let's take your first one, which is on the competitive dynamics. Now, we are not hearing of any competitors at this time exiting the market. We, obviously, keep track of it, but we are not hearing anything. So, we expect that to continue.  Your second question was on any interesting technologies that are available for us to look at. Absolutely. And Badri mentioned that one area that we are looking at as part of our digital transformation technology to look at building out end-to-end software platform that can significantly improve the customer experience. Everything from generation – from the sales lead all the way through procurement, through installation, commissioning, operations and maintenance, and I think we're going to grow that business both organically and look at growing it inorganically as well. And, yes, absolutely, we're looking at a bunch of different software companies out there that can help us in that endeavor.  I think in the long run as well, we have talked about – given as Ensemble transitions into a more sophisticated energy management system, there's a tremendous opportunity to look at companies that are doing some interesting work in forecasting engines and machine learning and AI type work, managing big data, et cetera. So, all of those are a tremendous opportunity as we start bringing all of our new products into the marketplace.
Mark Strouse: Okay. Got it. That's it for us. Thanks very much.
Badri Kothandaraman: Thank you.
Operator: Thank you. And our next question comes from the line of Jeff Osborne with Cowen and Company. Your line is now open.
Jeffrey Osborne: Yeah, great. Just a couple of questions. In response to Colin's question, could you break out, roughly speaking, the mix of small customers versus larger? I would assume it's 70%, 80% smaller through distribution, but I didn't know if you could…
Badri Kothandaraman: That's close enough.
Jeffrey Osborne: Okay. And then, in terms of the – I know I've asked you this before in past earnings calls, Badri, but the battery piece, a lot of discussion of costs and certainly LFP prices have come down. I assume it's still an LFP based battery, but is that still anticipated to be in line with the corporate average now that you're approaching 40%? Or should we be modeling something less than that as the storage piece ramps up?
Badri Kothandaraman: Yes, LFP. Yes, in line with 40%.
Jeffrey Osborne: Okay. Good to hear. And then, just given the uncertainty in the market, how should we think about share shifts between you and other competitors? Are we at a point in time where people are transitioning from door to door and sitting down at the kitchen table to digital sales where people would want to learn new technologies and potentially replace a different inverter company with yourselves or are people still hunkering down with the status quo? I just didn't know if you're seeing over the past, call it, six to eight weeks any inbounds as it relates to people wanting to get trained that maybe hadn't heard of in the past or were aligned with the competitor.
Badri Kothandaraman: It's still early days, but the nice things we have seen are our traffic, the leads have increased a lot. We don't do too much of business digitally today, but that is increasing, our traffic to the online store is increasing. So, that's why I talked about the digital platform.  And the digital platform is not something that we are taking it lightly as yet another effort. This is going to be a really powerful platform if we do it right. What does that mean? You've got a homeowner who is coming to you and you've got a lead that is coming to you, and how effectively you transfer that lead to your installer network. Enphase has got an installer network of 500 loyal installers. They are amazing partners for us. They are why we exist.  So, imagine if we generate thousands of leads, maybe it'll become tens of thousands of leads and maybe it'll become hundreds of thousands of leads soon, but, let's start with thousands of leads, we pass it to our Enphase loyal installer network, we help the homeowner make a decision there, and we then create a platform for the homeowner and the installer and Enphase to interact on one platform seamlessly. Then we start to take care of things, like, all the way from appointment setting, design closure, contract closure, bill of materials procurement, permitting, planning, and then activation when it shows up on our Enlighten database and then O&M after that. If we can help our installers to digitize all of these, and these are – yeah, I'm talking about small and medium size installers, because they are the ones who have manual systems. They use ad hoc tools for everything. It would be really advantageous for us to introduce this platform where we have everything in one place that is contained. And if we do that well – and I'm not saying that it's easy to do that well. If we do that, well – it's a multiyear effort. If we do that well, then we can sell a lot more solar and storage solutions because, as you can see, we are going to go from $2,000 a home to over $10,000 a home. And with things we are going to introduce later on for consumption with AC panels, it's only going to become more and more and more. And so, we are going to become a much higher fraction of the bill of materials.  And so, once again, the concept is if we can make it so easy for the homeowner, and in particular for the installer, the sales of our Ensemble based solar and storage solutions are going to shoot up. That's really what we want to do long-term.
Jeffrey Osborne: That makes sense. I was trying to get at with my question, somebody not going through your digital store, but somebody that hasn't established sales force, are you finding that 500 installers that are loyal today, do you anticipate that meaningfully growing over the next three to six months? I'm just trying to get a sense of – with the uncertainty in the space, are you finding that people want to actually shift vendors? Or are people just sticking with what they know as they transition from selling door to door, sitting face to face with people and moving to online or whatever to stimulate demand?
Badri Kothandaraman: Right. Look, even in this time, we do have installers – we're winning a lot of installers. Why? It's pretty simple. It's the same thing that I'll keep keeping on beating on, which is quality and customer experience.  If we get to 0.05% annual failure rate, which is – we are actually very close to that number. That's an outstanding number, unbeatable number. And if we demonstrate that continuously, which we have for the last couple of years with IQ 7, that is a big factor for people to move to us. And that transition will happen regardless because in tough times like this, that transition, I believe will happen fast. People do not have time to screw around with failures. They don't.  So, if we can keep our NPS, net promoter score, above 60 – this quarter, we did 72. That's a phenomenal quarter. If we can do that, if we can answer the phone in less than 60 seconds, 0.05% annual defectivity, if we can extend that to batteries, our all-in-one solar and storage solution is going to dominate. No questions.
Jeffrey Osborne: Great to hear. Thank you for the detail.
Operator: Thank you. And our next question comes from a line of Philip Shen with ROTH Capital Partners. Your line is now open.
Philip Shen: Hey, guys. Thanks for the questions. Badri, what you were just talking about there in terms of the lead gen machine, sounds like it can be very powerful. Can you give us a little bit of a history on that? Meaning, where were your leads at Q1 and where do you think you could end the year at in terms of your lead generation that you can pass on to your partners? And what kind of close ratios have you experienced? I can imagine they're quite high because there are programs like this out there, and it seems like, again, this could be powerful. So, want to see what kind of ramp we could see ahead. And then also, what kind of capital are you willing to invest here? One of your peers spends millions of dollars on TV ads, for example. I don't expect you guys to do that. But just curious what kind of money you might be putting behind this?
Badri Kothandaraman: Right. So, Phil, you know that we are a disciplined company. We are not going to give you metrics without thinking. So, you've\ got to be a little bit more patient for those metrics.  But what I will tell you is this. We have 1.1 million sites today. And these are Enphase sites. And, okay, I have the ability to generate leads by spending a lot of extra money on my right hand. And I have all the 1.1 million homeowners on my left hand. What do I choose? Right? Yeah, the answer is obvious. Those are Enphase customers, and so therefore the low hanging fruit is those Enphase customers. And we are already working on such upgrade programs. We do talk about one particular upgrade program that we constantly issue press releases on, which is the upgrade program for the Enphase's first and second generation microinverters, who are transitioning from the M190 base products to IQ 7 and sometimes IQ7 based AC module. Those are examples of programs that you will start seeing more and more from us. But you're absolutely right. It's a powerful concept. And if he can do it right, we'll be in a different place.
Philip Shen: Great. As it relates to Q3, I know visibility is limited, uncertainty is high, but I do believe we've seen an inflection point in terms of sales have troughed out and they're improving week over week. So, things are improving a little bit. Just curious to see if you guys have seen an improvement in Q3, like what kind of visibility in Q3 do you have?
Badri Kothandaraman: Phil, at this point, we don't have visibility for Q3.
Philip Shen: Got it. Okay. And one last one here. In terms of your guide for Q2, you talked about meaningful storage revenues in that Q2 guide. I don't think you quantified it. I was wondering if you might be able to quantify Q2 and then also talk about the cadence of how storage revenues ramp in Q3 and Q4?
Badri Kothandaraman: We are not going to quantify it. We may separate it out. We may – and Eric already told you guys that last quarter. But in order for you guys to think about a lower number, we gave you the inventory of storage product that we built. We gave you that, but that number was at the end of March. And that number was $3 million. So, you guys can do the calculation and have a base number. That's the base number. Obviously, that's not all of it. But that will help you to at least have some number instead of shooting in the air.
Philip Shen: Okay. Great. Thanks, Badri. I'll pass it on.
Operator: Thank you. And our next question comes from the line of Eric Stine with Craig-Hallum. Your line is now open.
Eric Stine: Hi, everyone. Most questions asked here, but I guess I'll just go with – so Ensemble in a box, I know that was a big topic at the analyst day in India. Just thought process on bringing that to the US now. How you view it competitively in the market? And then, if you have any thoughts on the overall market opportunity.
Raghu Belur: Yeah. I think one of the key things – and this is – as this disruption happened, we got together and we said, what is it that the people are thinking about? And I think you realize that self-sufficiency, resiliency is top of mind for a lot of people, especially here in the US. And so, that's why we decided, not long ago, that we were going to first prioritize getting the Ensemble in a box product here.  We did our competitive analysis, we did our survey up there and really felt that we have a phenomenal technology in Ensemble that we can leverage to bring a competitive product into the marketplace.  Like we mentioned, forefront of it being the reliability part, the always-on connectivity and, finally, the customer experience par. And we can address both resiliency part when you're inside the home or self-sufficiency part when you're inside the home and then you can also – it's a mobile device. So, it's basically energy on the go both for – whether it's for recreational use or for emergency purposes as well in the event of a catastrophic event.  We think it's a really complementary product to the complete Ensemble solution that we have with PV on the roof and beta in charge storage solutions with Enpower. So, I think it's a really complementary solution for about 1.7 kilowatt hours. And I think it plays really well with our set of products that we have. So, the opportunity I think is going to be very big here in the in the US to begin with.  We're also planning to, of course, do the India version of that product subsequent to the US version, and there we shared what our served available market is going to be and it's quite large.
Eric Stine: And is that something you think as a contributor? Can be a meaningful contributor in 2021?
Raghu Belur: Absolutely, yes. So, that's when we plan to introduce it, in the second half of this year, and it will play a big role in 2021.
Eric Stine: Okay. Thanks.
Operator: Thank you. And our next question comes from the line of Maheep Mandloi with Credit Suisse. Your line is now open.
Maheep Mandloi: Hi. Thanks for taking the question, everyone. I hope you all are doing safe. Could you just talk more about the software strategy? How should we think about it? Is it a new product or a service for the installers? Or should we think more of a platform for your core installers? And apart from any M&A opportunities for the Encharge solution, do you see any M&A opportunities for the software strategy?
Raghu Belur: Yeah. As Badri mentioned, it's a very key element of our overall strategy. This is the digital transformation piece. And the key here is to provide fantastic customer experience end-to-end, which means starting from that lead all the way through matching the installer with the homeowner, managing through the process, all the way through digital permitting. You're seeing some of the HAs [ph] moving to that environment as well. You see there's a general push towards moving everything into the digital world.  So, everything we want to provide as a seamless platform. And then, that platform then continues to extend beyond into the actual operation of the Ensemble technology, which is the energy management piece.  So, today, we think about it as disparate elements, meaning the frontend which is about sales and procurement and installation. And then, there is this Enlighten piece which is – or Ensemble energy management piece, which is a product related piece.  But imagine if that whole experience was completely seamless, of course, that means there's a lot to do and a lot of software to be developed. And so, we are going to be very thoughtful about what are the things that we can build in-house ourselves. Of course, the core Ensemble technology, there's a significant amount of IP there and we have built that in-house. But then there is the piece around the front end, which I think we'll build some and we'll look for some organic and inorganic M&A.  On the product side, of course, there is the micro part, the battery. We know what we are going to do. We know where all our IP lies. All our IP lies in the power management piece, the communications piece, the software piece. The two things that we are not in the business of is manufacturing of solar panels or manufacturing of cell packs. So, everything in between is significant IP to be developed, particularly around the software part, which is everything software defined power conversion, all the way through economic optimization, which is what we refer to as tertiary control. That's core IP for us. What I wanted to point out is that whole experience needs to be completely seamless. So, that is what we mean by complete digital transformation.
Maheep Mandloi: That's helpful. Thanks. And actually, one last for me on batteries. Could you just remind us which countries you will be buying the batteries from, just trying to get ahead of any trade escalations in the country? And also, it is a 5% battery attachment rates by the end of the year. Does that still hold? I know it's probably been pointing to one small number here, but any clarity on that will be helpful.
Badri Kothandaraman: Right. So, the answer is China. And we have one source now. We will have one more source in the second half of the year. And then, yes, the 5% holds in Q4 of 2020.
Maheep Mandloi: Thanks for answering my questions.
Operator: Thank you. And our next question comes from the line of Jeffrey Campbell with Tuohy Brothers. Your line is now open.
Jeffrey Campbell: Good afternoon. I wanted to ask you, have you disclosed how many of the 1.1 million installed Enphase customers are on legacy micros at this time?
Badri Kothandaraman: No, we have not.
Jeffrey Campbell: Okay. But is it safe to say that it's still a fairly sizable amount?
Badri Kothandaraman: Right. Correct.
Jeffrey Campbell: Okay. As I've listened to you describe the digital platform in a number of different ways, it sounds similar to the approach of some large installers. Is it correct? At least optically. Is it correct to say that the main point of the initiative is to increase the sales potential of the smaller installer? 
Badri Kothandaraman: That's right. 
Jeffrey Campbell: And kind of following on that, can the digital platform positively impact Enphase internal operations in some way? 
Badri Kothandaraman: Not really. When you say impact the Enphase operations, I'm not sure what you mean. 
Jeffrey Campbell: Well, I'm saying, for example, would it make your sales ever more efficient? So, maybe you'll get more out of less headcount or would it somehow positively impact your inventory because it provides you maybe with another source of feedback that you're not getting now. Just wondering if there's any feedback loops there for you.
Badri Kothandaraman: It's got to make our installers' lives a lot better, the small and medium sized installers. It's got to make the homeowners life a lot better. In order for us to achieve such a seamless experience, it's going to take us time. It's going to – we need world class software. So, it's going to take us more people in order for us to do this. And, fortunately, for us, our gross margins are strong and we have a nice balance sheet. So, we are in the right time to invest and help both our homeowners as well as small and medium sized installers.  And I guess, the final point on this digital platform thing, I think it's been touched on it, just to confirm it. If this works the way that you want it to, is it reasonable to think that it's going to attract additional installers to you that you may not be working with now, and could that be significant? 
Badri Kothandaraman: That's right. Yes. That's right. 
Jeffrey Campbell: Okay, great. And just one question on a different subject. I was just wondering, is the IQ 8D still – because I know we have all these COVID-19 headaches. Is it still moving along fairly smoothly? And do you still expect to release it in the fourth quarter? 
Badri Kothandaraman: Because I did mention it in the call actually earlier. We are pleased with the progress that we're making on IQ 8D. IQ 8D, to remind everyone, it's a small commercial product, 640 watt AC. It will basically service two panels. And our differentiation there is, obviously, the trademark Enphase high quality, rapid shutdown implementation, and essentially very high efficiency product. But, yes, it is on track. 
Jeffrey Campbell: Great. Thank you. 
Operator: Thank you. [Operator Instructions]. And our next question comes from the line of Pavel Molchanov with Raymond James. Your line is now open. 
Jeffrey Campbell: Thanks for taking the question, guys. You have not been asked yet about manufacturing. You mentioned that there is no issues. Mexico has been under a lockdown, maybe a weak one, but a lockdown since the end of March. And I'm curious if there have been any disruptions in terms of labor availability or the social distancing requirements at the fab in Mexico. 
Badri Kothandaraman: Our factory has been declared as an essential business, and so there have not been interruptions. And also, like what I said in my prepared remarks, obviously, this is a quarter where we are building less inventory, not more. So, we are carefully balancing the inventory between China and Mexico. And due to COVID, the amount of inventory that we have to build is quite small. 
Jeffrey Campbell: Okay. Let me ask one more regulatory question. From the perspective of your customers that are postponing installations, and you referenced the New York area in particular, is that because of lockdowns and stay at home orders or is it more of a precautionary measure? Because my understanding is most states do not push it solar installation because it has been considered an essential business. 
Badri Kothandaraman: From an installation point of view, I think just people are cautious about having other people come and interact with them in their house. And I think that's one slowdown. The second slowdown, obviously, is also on the permitting side. Not everybody is like some of the counties that you're seeing here in California, like San Luis Obispo, et cetera, who have gone completely digital.  And then, the third element is around permission to operate. The PTO, which is in – both inspection and PTO. So, I think you're seeing that there is friction in the system as a result of the social distancing element. I think that is the biggest challenge. On the sales side, again, kitchen table sales are now less likely to happen or not happening. But we're seeing and a lot of our installer partners are adapting to doing this more virtually using digital tools.  So, yeah, we're going through that – experiencing those processes right now. 
Jeffrey Campbell: Understood. Thank you, guys. Stay safe. 
Badri Kothandaraman: Thank you. 
Operator: Thank you. And our next question comes from the line of Amit Dayal with H.C. Wainwright. Your line is now open.
Amit Dayal: Thank you guys for taking my questions. You guys indicated that you're being aggressive on product introductions, but at the same time you're seeing some push-outs relative to go-to-market for existing products in the pipeline. I just wanted to understand what the timeframe for these new product introductions will look like. Is it something that may transpire in this calendar year or are we talking a little bit more further out?
Badri Kothandaraman: Right. The delay on Encharge is because of social distancing and work from home. The engineers essentially do not have – they have not been working together. And because of that, some of the engineering activities and the compliance activities were delayed. And that's kind of behind us now. It was a short-term blip, which affected us. Last February, I thought – or rather, two months back, I thought we were going to ship Encharge by the end of March. That didn't happen because of this.  And regarding the other regarding, I do plan to introduce the IQ 8, grid agnostic microinverters for residential rooftops. I do plan to introduce it in the second half. And I do also plan to introduce IQ 8D in the second half, along with Ensemble in a box. We have a lot of engineering teams in the company. And the teams, obviously, they are a little bit hampered right now working from home, but, hopefully, that will end and June will be a lot better. And at this point, we still see – so we are on track to getting them in the second half. 
Amit Dayal: Understood. Thank you for that. Just last one for me. Have you acted on any buybacks so far? 
Badri Kothandaraman: No. 
Amit Dayal: Got it. Thank you. 
Operator: Thank you. [Operator Instructions]. At this time, I'm not showing any further questions on the phone line. This concludes today's question-and-answer session. I would now like to turn the call back to CEO, Badri Kothandaraman, for closing remarks. 
Badri Kothandaraman : All right. Thank you for joining us today and for your continued support of Encharge. We look forward to speaking with you again during our Q2 2020 earnings call. Bye. 
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.